Operator: Good morning, ladies and gentlemen and welcome to the Trevena Third Quarter of 2017 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Jonathan Violin, Vice President of Corporate Strategy and Investor Relations. Sir, you may begin.
Jonathan Violin: Thank you. And welcome everyone. Thanks for joining us on this morning’s call. With me today are Maxine Gowen, our CEO; Carrie Bourdow, our Chief Commercial Officer; and Roberto Cuca, our Chief Financial Officer. Before we begin, we wish to inform participants that we will make forward-looking statements on this call, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. You are cautioned that such forward-looking statements involve risks and uncertainties including risks detailed from time to time in the Company’s periodic reports filed with the Securities and Exchange Commission, and we undertake no obligation to update these statements beyond today. During today’s call Max will provide a brief overview of our third quarter and recent corporate highlights. Carrie will discuss how the work we have done will support the successful commercial launch of OLINVO. Roberto will then review our financial results. We will then open the call to questions. Now I will turn the call over to Max.
Maxine Gowen: Thanks Joan. Good morning everyone, and thanks for joining us today. The last quarter has seen rapid progress on a number of fronts, culminating in the recent submission of our OLINVO NDA. We have also made some decisions to support Trevena’s long-term growth and create meaningful value. I realize this has been a difficult year for shareholders, but we continue to see value in OLINVO and our other assets, and I would like to share some of our recent advances. We believe our current cash position should last into the fourth quarter of 2018, and we are in active discussions for multiple partnering transactions, both in the US and in ex-US territories. In the meantime, we continue advancing OLINVO towards FDA approval, and building the value proposition for OLINVO with our prelaunch activities because we believe it will be a valuable new option for patients and physicians. I would like to spend a few minutes reviewing our recent progress, and building upon our positive Phase 3 APOLLO data announced earlier this year. First, we have now successfully completed ATHENA, our Phase 3 open label safety study. The study models real world use in a wide range of procedures, including the priority procedures and at-risk patients that will be targeted at launch. We reported data from the first 418 patients at our July analyst day. And I'm happy to share today that we have now collected data from all 768 OLINVO treated patients, and we have seen very encouraging results in this study. We enrolled highly relevant patients, the at-risk segment of hospital patients, who are most in need of a new analgesic option. For example, 32% or at least 65 years old, more than half were obese with BMIs greater than 30, both of which are risk factors for opioid-induced respiratory depression. In addition, the key surgical specialties that will be targeted at launch were well represented, including orthopedic, colorectal, general and cosmetic surgeries. Importantly, multimodal analogies, including OLINVO, was common with high prevalence of local anesthetics and non-opioid analgesics, including NSAIDs and acetaminophen. So we now have a solid foundation of experience in the patients and procedures [indiscernible] the OLINVO launch. Second, we got valuable dosing information, nearly half the patients received OLINVO via PCA with the other half as needed, bolus dosing, which was given in the PACU, or recovery room to successfully titrate patients to comfort, and then dose to maintain pain relief. Maintenance dosing interval averaged 3.25 hours, indicating a very useful dosing interval for maintenance therapy. Importantly, the OLINVO AE profile was similar for PCA and bolus dosing, supporting the use of either doses in paradigm as hospitals and physicians see fit. We saw solid evidence of effectiveness. There were less than 5% discontinuations for lack of efficacy and 2% discontinuations for adverse events. Within the context of patients undergoing major procedures and consenting to an investigative product for their pain management we think this is a very good result. We saw promising adverse event rates. The frequency of the typical adverse events of nausea, vomiting and constipation were lower in ATHENA than we observed in our retrospective premier hospital database analysis of patients receiving conventional IV opioids for procedures in our key target specialties. Though, of course, the methodology in these two data sets was not identical. In addition, the AE frequencies were generally lower in ATHENA than in our APOLLO studies, consistent with our expectation of OLINVO’s advantages versus IV morphine translating to real world experience. I'm also pleased to note that no patient in any trial has needed naloxone to reverse the effect of oliceridine. Equally important to us was investigator feedback, since it helps us identify potential future studies of OLINVO, and may indicate what evaluations hospitals might consider for their own assessments of OLINVO’s performance. Based on feedback we have heard from multiple study sites, we are now planning retrospective chart reviews in orthopedic and colorectal procedures, in which we are interested in understanding measures, such as sedation and return of bowel function. We are very pleased with the ATHENA results that we have seen so far, and are looking forward to sharing more data from the ATHENA trial in the coming months. In parallel to our OLINVO NDA preparation, we have also conducted a strategic evaluation of our pipeline and resource allocation. For the last 18 months, the bulk of our resources had been allocated to OLINVO as we completed an entire Phase 3 program in just over a year. As we execute on the OLINVO prelaunch activities and advance TRV250 and our S1P modulators in Phase 1 and preclinical stage. We did not believe further new molecule discovery was going to drive shareholder return in the foreseeable future. The decision to hold our new molecule discovery was a difficult one, but we believe it is necessary for the success of the company and value creation for our shareholders. We have extended our cash runway and significantly reduced our operating expenses, but have retained development, regulatory and commercial expertise to advance OLINVO to FDA approval and conduct the necessary pre-launch activities. And although we are focused on our OLINVO program, we are ready to advance TRV250 and potentially one of our S1P modulators. And in light of this, I would like to share an update on our OLINVO pipeline starting with TRV250, our investigational product for the treatment of acute migraines, a novel, potentially first in class mechanism. I'm pleased to report today that TRV250 has successfully completed the preplanned single ascending subcutaneous dose protocol in our first time in human study in healthy volunteers. In the doses studied to date, TRV250 demonstrated dose proportional exposure after subcutaneous administration, and was safe and well tolerated at all doses tested. Because no dose limiting adverse events have been identified, we have expanded the study to establish a maximum tolerated dose to support future Phase 2 planning. In addition, we have preliminary data for our basic oral formulation administered to healthy volunteers suggesting TRV250 has adequate oral bioavailability to support further development via the oral route. In light of the promising early results, and our ability to expand the study to higher doses, this trial should now read out in the coming months, depending, of course, on how many dosing cohorts we need to study. Once we complete the study, we will evaluate collaboration opportunities to fund an advanced TRV250 into Phase 2 and beyond. Additionally, we unveiled a new program, a series of S1P modulators that show promise as non-narcotic, non-opioid analgesics for neuropathic pain, inflammatory pain and chemotherapy-induced peripheral neuropathy. We are seeking multiple paths to move one of our molecules forward into development, and look forward to updating you in the future. And finally I would like to thank Mike Lark, our Chief Scientific Officer, who has been with us since we started Trevena, and who will be departing the company in mid-December. Mike and his biology and chemistry teams very successfully helped grow the company from a platform concept through discovery and development to the cusp of commercialization. We will miss Mike as a colleague, a leader, and a friend. And now I would like to turn the call over to Carrie to discuss why we are so optimistic about OLINVO’s clinical and commercial potential.
Carrie Bourdow: Thank you Max. I thought I would spend a few minutes reflecting on what we have learnt in our market research and launch planning in the last few months. We have spoken with over 400 pharmacists, physicians and nurses in both the inpatient and outpatient hospital setting since we have received our Phase 3 data, and we have heard four main questions that hospitals have when they evaluate a new drug. First, does the drug provide a benefit over current drugs, especially for those patients that maybe difficult or costly to treat. To date, we have conducted five head to head studies versus morphine, and we believe the data show that OLINVO provides a fast onset, clean offset, expected efficacy of an opioid with an improved safety and tolerability over morphine. Physicians in market-research told us that it is this combination of potential benefits that is unique for OLINVO and may help in better managing their patients. When we asked physicians to select the patient type for OLINVO would be their first choice over morphine. Three of their top picks were the elderly, obese and renal impaired patients because these patients are at higher risk for respiratory issues. Also selected were patients who have had a history of nausea or vomiting, are those who are having procedures where vomiting can negatively impact the outcome. Physicians tell us that these at-risk patients represent approximately 40% to 50% of their current patient population, and we estimate that the initial OLINVO target is between 7 million to 9 million hospital inpatients. The second question from hospitals is what will be the budget impact of the new drug, and by budget impact they are looking to understand not just the price, but also potential cost offsets or cost benefits if the new drug can help them improve patient care and managed cost across the hospital system. To address this question, we conducted market research with 200 hospital pharmacists and physicians using a blinded profile of our Phase 3 head to head clinical results. We learnt that the decreases seen in respiratory depression and vomiting versus morphine were meaningful, and especially important for those at-risk patients that are costly for hospitals to manage. They also told us that a price range of $60 to $100 a day reflects the significant value that OLINVO may provide to the inpatient setting. And we now know which of our targeted hospitals have case mixes associated with these at-risk patients and procedures, and therefore maybe early adopters of OLINVO. The third question hospitals have relates to physician demand. Hospitals want to know if there a group of physicians that see value in using the new drugs, but we also recognize the importance of physicians experience and advocacy on formulary update. We expect the OLINVO launch to focus on key physician specialties such as orthopedic, colorectal, cardiothoracic and cosmetic because these physician groups require IV opioids in a large number of at-risk patients. In addition, many of these targeted physicians practice in both the hospital inpatient and outpatient or ambulatory surgery centers, and we know that physicians may first try a new drug in the outpatient setting since new medications can be reimbursed with pass-through status for 2 to 3 years post-launch. Physicians can then bring their experiences with the drug into the hospital to educate [formulary]. In addition to the unmet needs I described for at-risk patients we see an opportunity for OLINVO in the outpatient setting, where the potential for rapid onset, clean offset and reduced AEs can aid patient throughput. And so OLINVO can be targeted for select hospital outpatients at ASCs to help drive early experience. Finally, the results from the ATHENA trial will help us address hospital’s fourth question, how will a new drug perform in the real world. As you heard Max describe, the ATHENA trial modeled real-world use and OLINVO was used in multiple at-risk patients in targeted procedures. Over 200 physicians, nurses and other healthcare providers across dozens of sites participated in ATHENA, and we expect to present and publish many of the subpopulation findings from ATHENA at upcoming medical meetings. In closing, we know the hospital is a multipronged self. The good news is that we believe that we have a novel, differentiated product and our targeted prelaunch strategy ensures that we position OLINVO for a successful launch, and with the strong patent protection until at least 2032, OLINVO has a very long runway to capitalize on the significant opportunity. Now I will turn it over to Roberto for a review of our third-quarter financials.
Roberto Cuca: Thanks Carrie. We disclosed key financial measures earlier today in our press release, and will file full financial statements in our form 10-Q. For now I will summarize the headline numbers. For the third quarter, we reported a net loss attributable to common stockholders of $16.0 million, or $0.27 per share, compared to $29.9 million, or $0.57 per share for the third quarter of 2016. Research and development expenses were $10.2 million in the third quarter of 2017 compared to $25.5 million for the same period in 2016. This decrease resulted primarily from the completion of our Phase 3 program for OLINVO. General and administrative expenses were $5.2 million in the third quarter of 2017, compared to $4.1 million for the third quarter in 2016. This increase corresponded with modest growth in the commercial organization as we prepare for potential OLINVO approval next year. We expect commercial expenses to increase as that approval nears. Cash, cash equivalents, and marketable securities were $76.6 million as of September 30, 2017, which we expect will fund operations for at least twelve months from today. And as Max mentioned, we are evaluating the full range of options to bolster our balance sheet and support the efficient launch of OLINVO. We can now open the call for questions after which Max will give some closing remarks. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Jason Butler from JMP Securities. Your line is now open.
Roy Buchanan: Hi, it is Roy in for Jason. Thanks for taking the questions. I had a question about physician feedback, and how that has evolved given the presentations and publications on the Phase 3 data throughout 2017.
Maxine Gowen: Sure. Good morning. How are you? So, it has been really interesting because physicians as we have been reporting the head-to-head Phase 3 data link it to some of the earlier studies and publications they have seen, and one of the comments that we continue to get is that it is the totality of the data that is impressive to them because as I mentioned on the call, in five head-to-head studies, we have shown either better efficacy or better safety and probability. And so, as we have published - more and more of our information are presented at more and more scientific meetings they are looking for those links, and when they see, for instance, oxygen saturation, and respiratory events in multiple studies in multiple different ways that is confirming for them that this truly is a differentiated profile.
Roy Buchanan: Okay, great. That is helpful, thanks, and then can you also discuss how the breakthrough status for OLINVO impacted the impacted the interactions with the FDA during the NDA submission process?
Maxine Gowen: Sure. So, I think each division uses the breakthrough therapy designation differently, and so we certainly had frequent interaction with the project leader and a number of interactions with members of - different members of the review team. I can't say if that was different because we had breakthrough therapy designation, but it certainly was helpful.
Roy Buchanan: Okay, great. Then one last one on the S1P programs, are you targeting specific subtypes or combinations of subtypes of the receptors? Thanks.
Maxine Gowen: We are, but we haven't yet disclosed that for competitive reasons.
Roy Buchanan: Okay, thank you.
Operator: Thank you. And our next question comes from Alan Carr from Needham & Company. Your line is now open.
Alan Carr: Hi, thanks for taking my questions. A couple of them, one around ATHENA, wondered if you can give us a sense of when we might see more of that data, and also wondering if - it doesn't sound like it, but I am wondering if there is anything different that you learn when you going from 418 to 768 patients? The other is around regulatory, any sense of advisory committee meeting here, and exposure on - whether or not you have a priority review at the filing date? Thanks.
Maxine Gowen: Good morning Alan. I will try and remember all the questions. So, we will be rolling out the data from ATHENA at scientific meetings. In the pain space, they sometimes can have rather a long lead time to get into - go through abstract review extra. So we don't have any specific plans to tell you yet, but we will keep you informed of that. There were really no differences, no substantial differences at all between the data from the first cut, and the second cut, which was obviously very encouraging. If anything, I think the data looked a little bit more favorable when they were all combined, the larger number. No concerns at all there. And then the review - yes, are we going to - so we would - this is an [indiscernible] issue? Well, no. So we would anticipate having an advisory committee meeting. Of course, we learn that later from the FDA I think it would be surprising if we don't. And yes, we hear about that at the time that the NDA is accepted.
Alan Carr: Okay, and I guess, [indiscernible] how much work do you plan to do with S1P internally?
Maxine Gowen: So, I will just correct what I just said. We will learn about priority review that was part of the question I was answering that, when we hear about [indiscernible]. So, well, we would very much like to identify a clinical candidate, and that is what we are planning - that is what we are actually actively doing right now. We have a number of potential candidates, and we are just doing the final evaluation of those. How much further we can go will depend somewhat on our resources at that time.
Alan Carr: Phase 1 is a possibility it sounds like if you like, you have the resources for it?
Maxine Gowen: Exactly. Down the road it would be, yes.
Alan Carr: Okay. Well, thanks very much.
Maxine Gowen: Thank you, Alan.
Operator: Thank you and our next question comes from Ritu Baral from Cowen. Your line is now open.
Unidentified Analyst : Hi, this is [indiscernible] on for Ritu. One question for Max, could you expand on the comment you made about AEs being lower in ATHENA than APOLLO, was this across all AEs, and how do you think regulators and future P&T committees will view those differences?
Maxine Gowen: So, yes, it was pretty much across the board of all of the side affects that we see. We usually report greater than 5% and we saw quite a deal lower levels of side effects across all of those. We would imagine that it is the use in the real world setting will be meaningful to both regulators and to P&T committees as opposed to use in a highly - not real world. I don't know what the word is I'm looking for - a setting as in APOLLO. I would also say that - I would remind you that we did this very large study of a premier database with several 100,000 queries. And we did that really to give us a baseline of how we would expect to see conventional opioid levels of side effect in the real world in exactly the same setting that we are using for Athena and comparing those levels that we saw in the premier data with Athena, Athena levels again were a good deal lower than in the premier database in which patients were treated with conventional opioids.
Unidentified Analyst: Got it. That's helpful and then one for Carrie, you mentioned it briefly in the prepared remarks that do you give this a little more detail on your initial plans for penetrating in the in-patient versus outpatient markets and how we should think about differential pricing in these situations.?
Carrie Bourdow: Good catch Alex. So, we've spent the bulk of our effort thinking about the inpatient opportunity and that's really where a lot of these at risk patients are housed but as we begin planning for our inpatient focus, a lot of our advisors that were to be the surgeon, colorectal surgeons in particular and cosmetic surgeons interestingly enough have told us that we really should think about the outpatient as well because a lot of times the physicians will get experience in the outpatient setting the reimbursement is different. So in the hospital as you know it's DRG in hospital outpatient ambulatory surgery center, it's what we call average selling price plus 6% and that's what you hear the term pass through for the first two to three years. And that's helpful because it gives physicians an opportunity to try drug in the outpatient setting without as many concerns around, how it's going to impact their budget. And then of course cosmetic surgery is potentially cash and so as we began to look more and more at some of the really interesting data coming out of Athena and we studied for instance breast augmentation and that's a very painful surgery, so some of our Athena investigators have told us that we really need to think about patient throughput and the outpatient setting because there if a patient involvements or has any sort of respiratory issue or is sedated for instance that slows that patient discharge and so that's very meaningful for the hospital and outpatient setting. So those just give you some of the ideas that we're pulling together and I plan to talk more about my outpatient strategy in the next few months, we have procedures outlined in the outpatient setting as well as our targeted customers as well.
Unidentified Analyst: Got it and any comment on differential pricing here?
Carrie Bourdow: No not yet but yes that was my comment around good catch, good catch there Alex [audio gap] but yes we are we are exploring our opportunity.
Unidentified Analyst: Got it, thank you guys.
Operator: Thank you and our next question comes from Biren Amin from Jefferies Group. Your line is now open.
Biren Amin: Hey, guys. Thanks for taking my questions. Maybe a Max to start with, I guess the power that you are on and given the focus on opioid induction and DC, do you think FDA would be receptive towards approval of new opioid?
Maxine Gowen: Well, I think a new opioid that was an improved opioid absolutely, they would be receptors to it and of course that's what we believe that we have here and I think that specifically and in particular though an IV hospital based product, but all of the focus of attention right now on opioids both prescription and known is in the community of course with oral opioids and not in the hospital where it's I think very well understood that IV opioids are required to manage and treat patients effectively. So this is really not the focus at all of the concern around the opioid epidemic and I think the reason that we're getting invited to these discussions such as the one you're referring to at the HHS is because we have a seen as a novel option, a better potentially a better option that is and in fact the focus of that discussion with HHS was all around new approaches to treating pain as well as addiction and so that's why we were included.
Biren Amin: Got it and then just on your partnership comments, are you looking for a particular type of deal structure in the US first as Ex-US?
Maxine Gowen: Well, I think I would say there is we do not plan in any way to have any infrastructure Ex-US at all. In terms of in the US, I think we are open to all structures I mean our goal here is to optimize shareholder value and depending on the condition as condition change we obviously are going to retain our flexibility as to how we believe that might be best affected so that’s probably the most I can say at this point.
Biren Amin: And I guess the plan is that you hope to have a partner in place before the PDUFA?
Maxine Gowen: You mean before the approval?
Biren Amin: Yes.
Maxine Gowen: Yes. I would hope so, yes. And potentially a number of partners in different territories.
Biren Amin: Great, thank you.
Maxine Gowen: Thank you.
Operator: Thank you. And our next question comes from Ed Arce from H.C. Wainwright & Co, your line is now open.
Ed Arce: Alright, good morning everyone thanks for taking my questions. I’ve a few, first for Maxine, perhaps a little bit different takedown on the previous question. given your multiple ongoing discussions with potential partners both in the U.S. and ex U.S. how do you think about the relative attractiveness of the various potential scenarios specifically across geographies and potential financial structure that’s one? Second one for Carrie, in the list of the four questions that you outlined from clinicians, nurses and others if you could be helpful, if you could expand a bit on the third question around fishing demand and efficacy and give us a little more color more around what you’re hearing? And then finally, for [Revoto] if you could let us know when to expect the 10-Q filing? Thank you so much?
Maxine Gowen: Good morning Ed. So I will just take the first question then. I think there is probably not much more that I can add at this point in terms of specificity with respect to your question. I would say that we’re very much aware that the market potential for at least conventional opioids is much lower in XUS countries than is in U.S. Pain is not treated as aggressively in countries outside the U.S. in general and so those drugs don’t have such a large market. How that will develop with what we would believe to be a better safer opioid for the hospital obviously it yet to be seen. So I guess that my main comment about how XUS would compare with U.S. types of partnerships. Carrie did you want to.
Carrie Bourdow: Sure. Good morning and so on the physician efficacy fees there is a couple things to add one is, what sort of be back to physicians give to formulary communities, are they willing to go and navigate for your drug and we’ve spent a fair amount of time in market research and also talking with our advisors on tier willingness to advocate for OLINVO in particular for those at risk patients and then after they go and advocate how receptive our formula is. I think it depends on the hospital and large academic medical centers, physicians still certainly have a voice but it’s a larger committee and the process may take longer. And community or community teaching hospitals, orthopedic surgeons for instance still have a lot of power. And when they go ask for a drug to be added to formulary because the orthopedic surgeons and they tend to be actually the ones that are making money for hospital, the P&T usually moves forward that. I would also say the fact that we’re positioning that we’re positioning for this at risk patients is really important physicians feels like the physicians we talk that they are very comfortable and asking for the drug to be added to formulary and advocating for at risk patients. And so that also fits in with hoe we’re building and thinking about efficacy. Our medical therapy, I haven’t talked about that group but they’re out and meeting physicians at medical meetings and creating an advisory boards where they’re talking to physicians about their willingness and interested for limbo. So that’s a really important part of our pre launch activities.
Roberto Cuca: And on the 10-Q filing we expect that to be in before 9 o’clock this morning?
Ed Arce: Okay, great that’s helpful and actually one further follow up if I may. I think through again your multiple partnering discussion, and as you look through trying avenues for further funding. I was wondering if your discussions with partners could also potentially include TRV250 with separate group or is that potentially the same, sort of group of discussions that you’re having? Thanks.
Maxine Gowen: Well, discussions are focused on a limbo, but of course there are parties who are more broadly interested as well.
Ed Arce: Okay, thank you, Max. I appreciate it.
Operator: And our last question in the queue comes from Michael Higgins from ROTH Capital. Your line is now open.
Michael Higgins: Hi, good morning guys, I appreciate your time and taking questions here. Carrie you have given some excellent summary of the outlook which your strategies are. Can you go a bit further you might not be able to hold this far but momentarily characteristics of the launch of sometimes can be impact of hospital casualties as well as docks that our faster to adopt versus others. So you’re roughly 8 million patient focused, I mean, you could be the potential forecaster adoption rights amongst maybe the guys that we have picked up Exparel from it how do you adjust your new chart?
Maxine Gowen: Yes. It’s a great question so we do a couple of things. So we start with the account mapping and I reference that in my earlier talk that we now the hospitals that have could potentially early adopters and part of that is understanding where are the opioid volumes is the highest, we’ve now matched our appropriate DRGs based on our priority procedures to those top accounts and as you commented on we now know which hospitals have adopted Exparel and Ofirmev and did that early on. And that’s part of the accounting that we now do. So that’s now the right target and then as to your comment where we’re using the priority procedures and the DRG margin analysis to help pinpoint our representatives where they would hove in first, the kinds of messages they would say into which position they are. So those priority positions we talk them about involved, but we actually haven’t categorized by orthopedic, colorectal, cosmetic and some of the other areas of that focus and then as I mentioned to DRG in the market analysis. And I would also say that our medical team is using that same sort of account mapping to target their top K well.
Michael Higgins: Very helpful. Thank you. When you take a look at a hospital team, can you help us to have a better understanding of your eppectations, can you give us some kind of color around what duration would you expect to get half of those targeted half of PTs to get Ofirmev 1 formular is that something you’re looking in the first year and may be into the second year?
Maxine Gowen: Yes, I’m smiling because people are smiling me around the table, yes that’s probably we’re further there we’re willing to go this morning but I appreciate your question. that’s right. I will say that’s it’s actually quite helpful for us to be following of the branded launches in this very specific marketplace. We can clean quite a bit of information to help our own panning and activities.
Michael Higgins: From then I’m just going to follow up from there what are we seeing from [Indiscernible] where they able to get half of the formulary to get their drug from the first year, does it take into their second year?
Maxine Gowen: Well, I think that we’ve learned what caries just outlined and we will make full use of that.
Michael Higgins: Well, I mean, switching to 250 if I could understand, you’re pleased with the, I mean, your absorption characteristics with the sub Q and your oral and just one of the other oral capabilities, did that delta between those two formulations, did that remain from the low stills or to the high stills of did at least did maintain the same trajectory from low to high stills?
Maxine Gowen: Yes, good question. So as I said this was with the preliminary of oral availability so we actually were able to test only a single dose which was consistent with one of the other with one of subsea doses, but we don’t have a full dose of oral dosing at this point. So I can’t answer your question.
Michael Higgins: So I see single sending but on the subdue on the oral of the spondee?
Maxine Gowen: Exactly.
Michael Higgins: Got you, exactly. And then last question would be, could you help us if any kind of cash burn you noted, you got 12 months from today of cash how much that would include steadying for marketing?
Roberto Cuca: So we haven’t released specific guidance on what the breakdown is between that but the cash flow at least from today and we do expect to be increasing our investment into all the commercialization efforts as we get near to the PDUFA day.
Michael Higgins: I appreciate thanks guys.
Maxine Gowen: Thank you.
Operator: Thank you. And I show no further questions on the queue at this time. I would like to the over to Maxine Gowen for any closing remarks.
Maxine Gowen: So I just like to thank you all for questions, very good questions as always, hopefully you heard why we continue to be – and valuable products for my only patients, but also shareholders, we’re hard at work to make that belief a reality and I hope that you will continue follow us, And I’ll move our involve and our earlier programs forward and of course as always we look forward to sharing updates with you in the future. So thank you all for your interest and for your time today.
Jonathan Violin: Thanks Max, I would just like to remind to listeners that a replay of this call will be available on our website at www.trevena.com. So on behalf of the management team, I’d like to thank you all again for joining us and we will be available for any questions following the conclusion of the call. With that, operator please end the call.
Operator: Understood. Ladies and gentlemen, this does conclude the program and you may all disconnect. Everyone have a great day.